Operator: Good day and welcome to the Denny's Corporation First Quarter 2015 Earnings Conference Call. Today's conference is being recorded. At this time, I'd like to turn the conference over to Mr. Whit Kincaid, Senior Director of Investor Relations. Please go ahead, sir.
Whit Kincaid: Thank you, Blake. Good afternoon. Thank you for joining us for Denny's first quarter 2015 earnings conference call. With me today from Management are John Miller, Denny's President and Chief Executive Officer and Mark Wolfinger, Denny's Executive Vice President, Chief Administrative Officer and Chief Financial Officer. Please refer to our website at investor.dennys.com to find our first quarter earnings press release along with any reconciliation of non-GAAP financial measures mentioned on the call with their corresponding GAAP measures. This call is being webcast and an archive of the webcast will be available on our website later today. As a reminder, we will be filing our 10-K today as well. John will begin today's call with his introductory comments. Mark will then provide a recap of our first quarter results along with a brief commentary on our annual guidance for this year. After that, we will open it up for questions. But before we begin, let me remind you that in accordance with the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995, the company knows that certain matters to be discussed by members of Management during this call may constitute forward-looking statements. Management urges caution in considering its current trends and any outlook on earnings provided on this call. Such statements are subject to risks, uncertainties and other factors that may cause the actual performance of Denny's to be materially different from the performance indicated or implied by such statements. Such risks and factors are set forth in the company's most recent annual report on Form 10-K, for the year ended December 31, 2014 and in any subsequent quarterly reports on Form 10-Q. With that, I will now turn the call over to John Miller, Denny's President and Chief Executive Officer.
John Miller: Thank you, Whit and good afternoon, everybody. We're pleased with our strong start to the year growing sales, adjusted EBITDA, net income per share and free cash flow. Other highlights include refinancing our credit facility and our Board of Directors authorizing a new $100 million share repurchase program. We remain committed to investing in our brand to grow revenues and profits while also returning capital to shareholders through our share repurchase program. Our topline and profitability growth was primarily driven by achieving the highest quarterly same-store sales at both company and franchise restaurants in more than a decade. Our same store sales have continued their steady growth. We now have achieved positive comparable sales, 15 over the last 16 quarters and our expectations for 2015 point to the trend continuing. The execution of our brand revitalization strategy focused on improving the food, service and atmosphere of our restaurants and that positions Denny's to benefit from the improving consumer economic environment. Our success is a testament to dedication and hard work from countless individuals delivering the Denny's diner experience every day. The growth in guest traffic demonstrates how we're truly benefitting from solid execution of our initiatives to deliver a differentiated experience making the brand more relevant every day with every shift and to every guest. Although we've made meaningful progress to date, we believe we're still in the early stages of our revitalization strategy. One of the highlights from this quarter was the significant improvement in our company restaurant operating margin, driven by the same-store sales growth and solid execution by our restaurant operators. Although we're highly franchise business, we like owning a meaningful base of restaurants as it provides strategic and financial strength to our business. The 160 company restaurants, which make up less than 10% of the system have average annual sales around $2 million compared to $1.5 million for the system. Collaboration with our franchisees on ways to be more efficient with our service and improve the profitability of our menu benefits both franchise and company restaurants alike. Although our growing restaurant level profitability will primarily come through increases in same-store sales and traffic, the margins of our traffic driving strategies remain very important. The product mix improvements we're seeing are coming from a number of areas including a more profitable $2 $4 $6 $8 Everyday Value Menu. In the quarter, we saw guest move away from value as the incidence rate of the $2 $4 $6 $8 Everyday Value Menu decreased by 300 basis points compared to the prior year quarter. In addition, guests are ordering more appetizers and higher price premium entrees on our core and limited timeline menus. We're doing a better job of meeting our customer's expectations through our better menu offerings, execution of service standards and messaging. Our core menu showcases a number of fresh ingredients with more pictures and opportunities for up-selling. In June we will again update our core menu as part of our continued menu optimization work, which will include a combination of revisions and additions, offset by some deletions. Our limited time only menu strategy continues to focus on showcasing fewer but harder working options, offering traffic driving appeal as well as operational efficiencies. In the first quarter, we showcase skills across America and our current menu is called Denny's With a Twist. This menu puts a spin on a few of our traditional diner favorites like the Red, White and Blue Slam, the Banana Bread French Toast Slam and the Sriracha Spicy Super Chick'n, twist to our hard working Super Bird Turkey Sandwich. We continue to look to enhance our media and in-store merchandizing efforts with new partnerships. We've launched a new kids menu in partnership with DreamWorks Animation to feature characters like Shrek and the Penguins of Madagascar. We've also teamed up with NASCAR Star Denny Hamlin to reach race fans across the country. Our social media investment continues to grow and we're a leader in connecting with millennials as measured by our cloud score. The grand slam video series has generated over 15 million completed views. In a crowded marketplace, these efforts help keep Denny's name at top of mind and create a connection with the brand. Our Heritage remodel program is critical to our revitalization strategy, America's diner positioning as it further reinforces the improvements made to date to our food and service initiatives. But less than 20% of the system reflecting the enhanced atmosphere, we believe we're still in the early stages of our brand revitalization. This year we will continue to accelerate remodels like company restaurants with a target of completing approximately 50 remodels by the end of the year. As our brand revitalization efforts continue to gain momentum with our guests, we remain focused on executing our initiatives to achieve our goals for consistent gains in sales, improvements in customer return scores, margin growth and increased unit growth. Our goals to continue our growth in earnings per share through our highly franchised business while generating significant free cash flow to both reinvest in the brand and return to shareholders. We will continue to make investments in our base of company restaurants primarily through our Heritage remodel program. In addition, we remain committed to returning value to shareholders through our share repurchase program, which started in late 2010. We've repurchased approximately 22 million shares to date and with a new $100 million authorization we look to continue to prioritize repurchasing shares over debt repayment. In closing, we're very pleased with our continued momentum by consistently growing same-store sales and guest satisfaction and plan to continue to expand the geographic reach of Denny's and consistently grow profitability with our very capable franchisees with our highly franchised business. As we move through the early stages of revitalization, we're committed to delivering the full potential of the Denny's brand. With that, I'll turn the call over to Mark Wolfinger, our Chief Financial Officer and Chief Administrative Officer. Mark?
Mark Wolfinger: Thank you, John and good afternoon everyone. Our first quarter results were highlighted by growing domestic system-wide same-store sales by 7.2%, growing adjusted net income per share by 41% and generating $13.2 million of free cash flow after capital expenditures. During the quarter Denny's opened nine system restaurants and closed 17 system restaurants including one company-operated restaurant. Denny's total operating revenue including company restaurant sales and franchise and license revenue, increased $8.3 million or 7.4% to $120.2 million, primarily due to the increase in same-store sales. Same-store sales of domestic franchised restaurants increased 7.1%, due to favorable product mix and higher menu pricing along with a rise in same-store guest traffic. Franchise and license revenue grew 4.8% to $34.2 million, primarily due to an increase in royalty revenue, resulting from the growth in same-store sales. Franchise operating margin of $23.2 million improved by $1.3 million, primarily due to the increase in royalty revenue, partially offset by an additional $700,000 increase in direct costs. Franchise operating margin as a percentage of franchise and license revenue expanded by 0.7 percentage points to 67.9%, compared with the prior-year quarter. This improvement was primarily due to the increase in royalties. Same-store sales at company restaurants grew 7.6%, due to increases in both same-store guest traffic and same-store guest check average. The improvement in same-store guest check average was driven by both favorable product mix and higher menu pricing. Sales at company restaurants were up $6.7 million or 8.4% to $86 million, primarily due to the same-store sales growth and the reopening of the Las Vegas Casino Royale restaurant in November 2014. Company restaurant operating margin was 17.1% of company restaurant sales, an increase of 5.6 percentage points primarily driven by the leveraging effect from the same-store sales and lower product cost. Total general and administrative expenses were up $2.8 million primarily due to higher payroll and benefits cost along with additional incentive and share-based compensation. Interest expense of $2.1 million improved by $200,000 primarily due to the exploration of capital leases and a $21.3 million reduction in total debt outstanding over the last 12 months. The closing of our new bank facility in the first quarter resulted in a one-time non-cash charge to other non-operating expense of approximately $300,000 resulting from the write-off of a portion of the deferred financing cost related to the prior facility. On April 1, we announced the refinancing of our credit facility establishing in a new five-year $250 million revolving credit facility. The refinancing is a reflection of the progress we have made in our brand revitalization strategy and demonstrates the confidence the financial community has in our strategic plan. In addition to the interest savings, the new facility offers enhanced flexibility for the use of cash, whether it’s towards debt repayment, returning capital to shareholders, or using our balance sheet for brand investments such as direct loans to franchisees and franchisee loan guarantees. By removing the term loan amortization, we have no minimum payments, which frees up $4 million to $6 million of cash per year. The refinance facility features interest rate adjustments based on our total debt to adjusted EBITDA ratio. Since our current total debt-to-adjusted EBITDA ratio is less than two times, the new interest rate will be at LIBOR plus 150 basis points, which is 25 basis points lower than the corresponding credit spread under our old facility. Taking into consideration our LIBOR interest rate swap, the effective interest rate on our revolver loans is 2.5% based on our outstanding debt at the end of the quarter. We have entered into 30-day LIBOR rate swap contract extending beyond the first quarter of 2018 to March 2025 fixing $120 million of debt at 2.4%. Based on our current LIBOR spread of 150 basis points, this would translate into a fixed interest rate of 3.9%. We will continue to look for opportunities to use cash to also purchase franchise locations, which will enhance our company restaurant portfolio or acquire real estate to improve our returns on company or franchise restaurants. Free cash flow after capital investments increased by $6.6 million to $13.2 million. We invested $3.4 million on capital expenditures in the quarter, which included remodeling seven company restaurants. During the quarter, we repurchased 450,000 shares for $5.1 million. Since November 2010, we’ve allocated approximately $118 million to repurchase approximately 22 million shares through May 1. In conjunction with the refinancing, our Board of Directors authorized a new multi-year share repurchase program authorizing additional $100 million of common stock to be purchased. We have approximately 12.5 million shares authorized for our ongoing repurchase program based on Friday’s closing price. Let me now take a few minutes to expand on the business outlook section of our earnings press release. Based on first quarter results and Management’s current expectations, we're raising our 2015 annual guidance expectations for same-store sales and adjusted EBITDA. We are increasing same-store sales expectations to be between 3.5% and 4.5% at company restaurants and be between 2.5% and 3.5% at franchise restaurants. We anticipate the company margin rate will be between 16% and 17% primarily supported by leveraging higher same-store sales and lower product cost. We continue to expect to franchise margin rate to be between 67% and 68%. Total G&A expense is expected to be between $61 million and $64 million, which is approximately $3 million higher than initial guidance due to higher payroll and benefits cost including a higher pension expense accrual along with higher incentive and share based compensation levels. We anticipate adjusted EBITDA will be higher than initially estimated ranging between $85 million and $87 million. We now expect net interest expense to be between $8.5 million and $9.5 million compared to $9.5 million to $10.5 million due to both a lower cost of debt and a reduction in outstanding debt. We continue to expect our annual effective income tax rate to be between 36% and 38% with cash tax payments being between $6 million and $8 million in 2015 which is slightly higher than our initial expectations. Cash, capital expenditures, annual guidance of $24 million to $26 million includes remodeling approximately 50 company restaurants during the year and acquiring a parcel of real estate under our franchise restaurant which closed in April. Despite the increase in our expectation for adjusted EBITDA, our free cash flow guidance remains between $45 million and $47 million as the increase in adjusted EBITDA is offset by slightly higher cash capital expenditures and cash taxes. We will continue to allocate our excess cash towards supporting reinvestment in the brand and our company restaurants as well as returning value to our shareholders. That wraps up our guidance commentary. I’ll now turn the call over to the operator to begin the Q&A portion of our call.
Operator: Thank you, Sir. [Operator Instructions] And we will take our first question from Will Slabaugh at Stephens Incorporated. Please go ahead sir.
Will Slabaugh: Yes hi thanks guys and congrats again on another good quarter. I just wanted to -- well I was wondering if you could walk us through any progression on [common minimum] [ph] during the quarter and maybe if you’re seeing any secular trends across different geographies such as maybe the West Coast versus the North East, maybe more color on that?
John Miller: Yes Will this is John. Thank you for the comment. We are still -- we’re seeing things start to level out across the country but we're seeing the strongest results out there in California, Arizona, Florida. Those would be the stronger performers across the quarter.
Will Slabaugh: Great.
John Miller: Your question about momentum throughout the quarter, obviously we’re not guiding into Q2, but we had a little bit of -- I think it was -- I think that the story of Q1 is we have favorable mix shifts in the quarter. Pricing carrying over it will be the easiest comparable. Weather was a little bit favorable compared to last year and then we have geography that's sort of -- is performing the best and improving our overall -- our footprint I think favors the brand, influence weather, distribution of units and so forth. So obviously we raised the guidance. So we’re confident on the year, but Q1 had the easiest comparisons.
Will Slabaugh: Great, thank you. And along with that, I may have missed this; did you give a specific breakdown of the traffic in check component of the comp?
John Miller: I can give you a little bit of detail. Q1 we were positive on traffic around 17, system wide 21 company, check was up about 54, overall and that's about 21 to 21 company pricing, 27 franchise, rest is mix shift.
Will Slabaugh: All right. Thank you.
Operator: And we’ll go next to Michael Gallo with CL King.
Michael Gallo: Hi good afternoon. Just two questions, one a follow-up on the last question. I was wondering if the mix shift is a result of how people are using the menu more as more a function of faster day part growth at lunch and dinner. And then I was also wondering if we can just dig in a little bit on the increase in the SG&A guidance for the year or is this primarily just a function of higher incentive comp or is there something else going on there, thanks?
John Miller: Yes thanks Mike, this is John again. Can you give me the first question one more time?
Michael Gallo: Yes my first question was, yes the increase in shack which was obviously pretty robust in the quarter. You mentioned mix shift was a big part of that. I was wondering how much of that was mix in terms of perhaps people getting more appetizers or things like that versus a shift between growth in the day part at lunch and dinner versus breakfast which obviously carries a higher check. Thanks.
John Miller: The traffic positive was a good trend for us. As I mentioned in the answer to Will’s question, we're starting to see this level out across the country. So we’re seeing positives everywhere and the positive traffic is primarily benefiting breakfast right now or even though it’s positive in all for four day parts breakfast, lunch, dinner and late night. The shifts in mix I think are primarily the biggest driver of $2 $4 $6 $8 change, 300 basis points moving from, 18 to 21 range all last year but 300 basis points quarter-to-quarter down over last year 21 to about 18% in this quarter. So that obviously moves the check up when you have your people saying or buying off value menu and chasing the more premium LTO items or core menu items.
Michael Gallo: And then on the SG&A front?
John Miller: Yeah, SG&A you really -- share-based compensation or rather the incentive compensation is about half of that difference and the other is just changes in our pay roll and benefits and then we have a pension program we’re trying to address. So that creates the other half of it. You saw in the guidance the change in quarter is very similar to the annual number as a result.
Michael Gallo: Okay. And then just one more question on the company's store margins, how much was the impact year-over-year from having Vegas in the numbers versus non at Vegas.
John Miller: It’s about 40 basis points in the quarter, it was about 70 basis points all of '14 impact.
Michael Gallo: All right, okay. Okay, great. Thanks very much.
Operator: And we’ll go next to Alton Stump at Longbow Research.
Alton Stump: Thank you and good afternoon.
John Miller: Good afternoon.
Alton Stump: Great job on the quarter. I guess just as you go back to the changes you made to the $2 $4 $6 $8, which would appear having helping not just obviously makes that also margin, so what have been lessons learned and is there a case to be made to make some more changes going forward over the next 6, 12 months given what has been ever successful move so far.
John Miller: Those are great questions. I think looking backwards that lessons learned are that it’s a great tool for the brand that you don’t want to mess with it too much if traffic is a challenge, but if you can grow traffic and reduce the mix on your Value Menu at the same time, it means you have the very best circumstances. And so how much more is in there is hard to know. Precisely the biggest changes are the lower number of $2 items being sold as dinner entrees which was a change that was required. We think, we’ve optimized that and they're now really traded more as add-ons and/or deserted options. The $4 continues to be the strongest part of this. You can sort of see when people get paid having incidence roll throughout the month. So value is an important part of the makeup of these guests and so it's an important lever to have. We think it's in a good spot right now. We think the margins are friendly and we’re happy to have it on the menu. The other big changes we made is a number of $8 entrees included a beverage. We don’t think we’re getting full credit for that and they are being sold on the merit of the $8 price and so adding the beverage back to the overall check for that equation was a big margin driver. With some consequence to mix where customer is being opted into other core menu items had a slightly higher price or similar price but a better margin. So I’d say that it's fairly optimized at the movement. Hopefully that answers your question.
Alton Stump: Yes. That’s great. Thanks John. And then one quick follow-up if I could; just if I stay on the mix topic, it would seem like you had success launching new products at the higher rent of you price point range. Similarly have you want to pay up for better new items even if there are above average tickets. A, is that true and B, is more opportunity to launch new products sort of at the higher end of your pricing menu.
John Miller: I believe A, it is true. It's statistically still insignificant. The most statistical significant changes in the mix and check have come from the decline in the $2 $4 $6 $8 menu. But there is -- there are more salmons and certainly stakes been sold that weren’t on the menu before. So, yeah check is also been driven to some degree by higher price or perceived to be higher quality menu items. Is there room for more of that, I certainly think so. Twice a year, we print new menus and we made additions and deletions strategically based on what happens in LTO’s and other test and then twice a year, when we're not printing we make other adjustments to the menu. So we continue to evolve with where the consumers wants to take it and they have shown willingness to buy more traditional dinner entrees at Denny's than historically.
Alton Stump: That’s great. Thanks so much.
Operator: And we’ll take our next question from Tony Brenner at ROTH Capital Partners.
Tony Brenner: Thank you. I wonder, if you can separate the increase in same-store sales of company stores. From those that were remodeled and those that had not yet been remodeled up to the first quarter.
John Miller: Sure. The company outperformed franchise represents about a 100 basis points difference because the higher percentage of our total portfolio of stores has been remodeled versus the franchise…
Tony Brenner: Just within the company store.
John Miller: That just the company versus franchise portfolio, but it’s a few 100 basis points different in the remodel versus non.
Tony Brenner: Okay. So then the franchisees with a much less incidence of remodeling were basically outperformed by several 100 basis points, is that a fair conclusion?
John Miller: Or their remodeled stores also outperformed the non- remodeled stores by the same amount.
Tony Brenner: Okay. And the last question, at what point if ever might we see the number of new store openings exceeding the number of stores being closed?
John Miller: Well, I think you’ll see the guidance here is that we still though it's in the single digits, it will -- we are guiding to have positive new store growth again. We had our best first quarter in quite some time with nine openings that beat the first quarter of last year and that’s on top of 21 that opened in the fourth quarter of 2014. So we’re seeing momentum. We also had a lot of closings in this first quarter, but again we’re guiding for the year to be a fairly normal year in that 2% or 35-ish range. So obviously we look forward to the day that the closing is slow and the openings continue to build momentum and we’ve been working very hard on that and the gross number of openings in the Denny’s brand is still among the top in the full service players out there. So as the closings mitigate through time, you'll see that net increase.
Tony Brenner: Great. Thanks.
Operator: [Operator Instructions] We will go next to Mark Smith at Feltl and Company.
Mark Smith: Hi good afternoon guys. First off Mark I just wanted to confirm you guys said 16% to 17% of restaurant level margin was the new guidance?
Mark Wolfinger: Right on the company side that's right Mark and so 16% to 17% is the annual guidance range and again the first quarter number was about 17.1%.
Mark Smith: Perfect. And then can you guys give an update on international restaurants on the opportunity we're at today?
Mark Wolfinger: I will start and someone else may finish this question. We did have a couple of openings this year in Canada. We're off to a good start. We do have new more openings in the Middle East. Opening this year, we’ve been talking at, we start talking about that last year when we signed that agreement. It's a 30 unit agreement with over 10 years with starts in 2015. So, we are building some momentum there. We now have 106 international locations that leads all family dining brands in stores outside the United States and we expect to build on that.
Mark Smith: Okay. And this might be a fluff question but John can you talk just a little bit about relationship with franchisees today and any kind of the health of their business?
John Miller: It’s an important metric. I think franchisees are our customer. We have excellent operators in our system, some that have been around a long, long time and some that are brand new. We care about those relationships. We care about their success. Their desire to continue to build restaurants and operating restaurants and delight our guest every day. So how they – what they believe about the brand and its potential and the leadership of the brand is very important to us. I would say that those relationships are well looked after. We put a lot of time and energy into brand advisory councils and inclusion of franchisees on the major decisions of the company and they're not perfect. But I’d say they are very solid. I’d say they're well above industry norm at this stage. And we would like -- much like international development we would like to build on that, like we've worked hard to get there and we think it’s very important. But I would say right now it's not a concern. I would say it’s very healthy, but at the same time we always want to make sure it’s improving all the time.
Mark Wolfinger: I think the other thing Mark, this is Mark Wolfinger, is that that the other element that we continue to see in a positive direction is interest from outside the system. And that mixes between folks coming new into Denny's and building new stores and new trade areas to franchise some other brands very strong reputable brands coming in and purchasing existing Denny's restaurants and growing from there. So yeah that was a little bit of what we saw during the refranchising process, but we continue to see it on new franchise growth as well, which I think is a positive signal about the brand and also the relationships with our existing franchise base.
Mark Smith: Excellent. Thank you guys.
Operator: And we’ll take our final question from Nick Setyan at Wedbush Securities.
Colin Radke: Hi this is Colin Radke in for Nick. Perhaps I missed it, but I just wanted to get the update on your guys commodity outlook for this year?
Mark Wolfinger: Its Mark all right how are you?
Colin Radke: I’m doing well how are you? 
Mark Wolfinger: Yes on the commodity side I would say the picture has improved a little bit. I think as we talked about commodity's expectation for 2015 like late last fall we talked about maybe a 2% range for commodity inflation. We actually ended 2014 with around 1% inflation in commodities. So that was last fiscal year. Our current expectations are probably going to be in that range 1%, might be a little bit better than that, but call it around 1% for 2015. And I know you will ask the question about how locked are we into our current buy? We’re about 70% locked into our current buy. So I’d say the commodity inflation picture overall is pretty solid for us at this point.
Colin Radke: Okay got it. Thanks. And then just on the comps, so the guidance don’t imply it was a fairly significant deceleration even on a two-year stack as the year progresses, is that just conservative or is there perhaps something special about this quarter that would lead you to think maybe this momentum won’t continue for the rest of the year?
Mark Wolfinger: So I’ll start and John will probably jump in here. I think a little bit of the reminder obviously I think as we mentioned upfront and mentioned now even perhaps on our guidance when we gave guidance, annual guidance originally that the first half of the year and certainly the first quarter were probably easier comparable. So we took that into account into our original annual guidance and that still remains in account today. Some of the changes we made in $2 $4 $6 $8, we made in the latter half of 2014. So as we come into the latter half of 2015, we’ll run up against those changes, which I think as John outlined earlier were pretty favorable as far as impact on things like GCA mix etcetera. So we’re taking that into account as well and so I’d look at it and say we’d tweak up. We've taken up our annual guidance, which for both company and franchise restaurants and obviously we don’t give quarterly guidance and subject to second quarter and third quarter etcetera we’ll review our annual guidance accordingly as we did last year.
Colin Radke: Got it. Thanks, and congrats on a great quarter.
Mark Wolfinger: Thank you.
Operator: And there are no more questions in the queue. That concludes our question-and-answer session for today.
Whit Kincaid: Thank you. Blake. I’d like to thank everyone for joining us on today’s call. We look forward to our next earnings conference call in early August to discuss our second quarter 2015 results. Thank you and have a great evening.